Carl Cowling: Thank you for joining us this morning. It's great to see you all in person. As usual, we'll give you an update on our results for the 12 months ending the 31st of August 2021. And we also thought it would be helpful to give you an update on the group as we emerge from COVID restrictions. And we're excited by the future as we see passenger numbers increase, and we continue to win important strategic tenders in the U.K. and overseas. So in a moment, I'll hand over to Robert, who will take you through the numbers, including a brief update on current trading, and I will then take you through the operational performance of the business, and we'll end with your questions. Before handing over to Robert, a quick overview from me and turning to the next slide. I'm pleased to say that despite the impact from COVID-19 in the year, we're seeing improvements in trading across the group. And we are well placed to benefit from the recovery and the increase in passenger numbers and return to profit in 2022. As I've shared previously, we implemented a very focused plan across the group around increasing conversion and driving average transaction value. This has delivered double-digit increases in average transaction values across all of our markets and importantly, is holding firm as passenger numbers return. In travel, we have opened 53 stores in the year, and we still have a very strong pipeline of new stores with over 100 already won, which are due to open over the next 3 years. This includes all the technology stores in U.K. airports, which will add a further 30 stores to our U.K. Airchannel. Combined with our U.S. InMotion business, this now makes us the largest technology retailer in travel locations in the world. Outside of the U.K., we've seen a good recovery in North America, and we've won a number of new stores there. Also, we've seen improving trends across Europe over the summer. Our High Street business has once again proven resilient and continues to generate high levels of cash. Our online platform, funkypigeon.com, has delivered a record performance, and I'll come on to talk more about this later in the presentation. So we've positioned the group well. We're financially strong following our refinancing in April, and we have emerged from the pandemic operationally stronger, ready to take advantage of further opportunities that we'll see over the coming months. I'll now hand over to Robert to take you through the numbers.
Robert Moorhead: Thank you, Carl. Good morning, everybody. I'm going to start off with the group financial summary. We'll look at the preliminary results and then later at cash and debt in more detail. All the numbers I'm going to refer to are pre-IFRS 16 and there are some [ bridges ] to IFRS 16 in the appendix. So the results for the year reflect the continued impact of COVID around the world. And of course, the comparators here for 2020 includes 6 months in the pre-COVID world. Total group revenue at GBP 886 million was 13% below 2020. Headline loss for the year was GBP 55 million, better than we had expected 12 months ago and includes a second half headline loss of GBP 36 million, over GBP 110 million better than the second half of 2020, and EBIT in Q4 was broadly at breakeven. We worked hard on our cash management. Our free cash flow in the year was an inflow of GBP 14 million, and we finished the year with cash on deposit of GBP 103 million and further available liquidity facilities of GBP 250 million. So turning first to revenue. Overall, the group generated revenue of GBP 886 million. And looking first at Travel. Going forward, we'll split out Travel into its 3 main segments: U.K., North America and then the remaining international countries included as rest of the world. In the U.K., revenue was GBP 195 million, with hospitals as the best-performing channel but with Airand Rail significantly impacted by government restrictions. We were pleased with the performance of North America, where, as expected, the recovery was seen first, given the high levels of domestic and leisure passengers in that region. In the rest of the world, numerous restrictions meant sales were GBP 40 million. That meant total Travel sales for the year were GBP 401 million. High Street generated sales of GBP 485 million, 4% better than 2020 and but, of course, well down on 2019, reflecting the restrictions and the reduced footfall on U.K. High Street. The business performed well over Christmas 2020 and in line with our expectations during 2021. If you look at the bottom half of the slide, you can see how compared to 2019, as we went through the year, we saw a pickup in performance with travel at 63% of 2019 in Q4 and High Street at 87%. We are pleased with how the year has started. And for the 9 weeks to the end of October, the group is now at 82% of 2019 with High Street at 88% and Travel recovering fast at 79%. And we can see this in more detail on the next slide. This chart shows the monthly performance versus 2019 from April through October 2021. The travel business has continued to improve compared to 2019 as restrictions have lifted. In the U.K., the orange line, this has shown a steady recovery with hospitals stable, but with Rail and Airrecovering strongly. Our North American business, the light blue line, saw the earliest pickup with relatively strong passenger numbers over the summer. TSA data shows passenger numbers down around 20% to 2019 as at the end of October. Las Vegas too saw a pickup with leisure visitors. Occupancy rates in October have been good, especially at the weekend. A number of conferences and trade fairs are now taking place. In rest of the world, the gray line, this shows a pickup in Europe over the summer, although tempered by the continued lockdowns in the ASPAC region. In High Street, the green line, we've seen a relatively stable performance with good growth from our internet businesses. So turning now to the income statement. So headline loss before tax for the year was GBP 55 million, better than we had expected. This includes a second half performance over GBP 110 million better than the second half of 2020. The loss in travel was GBP 39 million, of which the U.K. was a loss of GBP 32 million. North America delivered a profit of GBP 6 million, which reflects the improved trading, the benefits from merging the 2 head offices into Vegas as well as a good focus on managing rent and other costs. Rest of the world made a loss of GBP 13 million, with most countries subject to government-imposed restrictions on travel. High Street delivered a profit of GBP 19 million, reflecting a good trading performance given the lockdowns as well as tight cost control. In both businesses, we saw the benefits of the restructuring undertaken in 2020 and our continued focus on all cost lines. We continue to work to put additional flexibility into our cost base. So overall, that meant the group loss from trading operations was GBP 20 million. Financing costs at GBP 16 million includes the cost since issue of the convertible and includes noncash amortization charges of GBP 3 million, also relating to the convertible. We expect the financing charge for this year to be in the mid-20s with a cash cost around GBP 10 million lower than that. This is considerably lower than it would have been had we not issued the convertible and concluded the refinancing back in April. So that left a headline loss before tax of GBP 55 million. And in the context of COVID, it's not a surprise that we have a number of non-underlying items as well this year. So let me turn to those now. The nonunderlying items in the year are nearly all COVID related. I have them listed all on this slide, and there's a lot more detail in the press release. But the important point here is that the majority of these charges are noncash and have already concluded. The cash outflow relating to them in this financial year is estimated to be about GBP 6 million, most of which relates to the reprofiling of store staff in High Street, which is putting additional flexibility into our cost base. So turning now to cash in more detail. We've continued to focus on cash, generating GBP 19 million of operating cash flows which, after a working capital inflow and CapEx meant we generated a free cash flow of GBP 14 million. This results from better-than-expected trading and good management of working capital and CapEx. We've taken a disciplined approach to CapEx and spent GBP 44 million in the year, focusing on strategically important projects, which set us up well for the long term, such as Manchester Airport and Heathrow T5 as well as new stores in North America. We will continue to invest in new stores, including the recently won InMotion stores in the U.K. and expect CapEx in the year to be about GBP 100 million. The working capital inflow was GBP 37 million in the year, which largely relates to good stock management and also the return to our usual working capital cadence over the peak months in travel. So looking now at our debt. Net debt at the end of the year was GBP 291 million, an overall reduction of GBP 10 million. Of this, GBP 14 million was the free cash flow. We then had GBP 38 million of cash outflow on non-underlying items, which mainly relates to the restructuring activity in the previous financial year. And then we have the impact of the convertible. The accounting for the convertible is different to other sources of debt that we've had in the past. And it's worth just touching on that. As I'm sure you know, the convertible is a bond with an equity option. As a consequence, the debt is bifurcated into an equity element and a debt element. And the equity element is reported in equity, and the debt in debt. The debt element accretes up to par over the life of the bond, so each 12-month period, we'll have around an GBP 8 million noncash debt accretion in both our financing charges and in our debt. So at the end of the year, our accounting net debt was GBP 291 million, which includes cash on deposit of GBP 103 million. We anticipate net debt to be around GBP 310 million at the end of this year, which reflects the higher CapEx investment we had this year and assumes no further government restrictions. So finally, turning to our debt structure. So in April, we announced financing arrangements that set us up well for the medium term. After the successful issuance, we now have a 5-year convertible bond of GBP 327 million with a conversion price of GBP 24.99 and a coupon of 1.65%. We retained GBP 50 million of the convertible and used the balance to repay most of the term loans, leaving us with term loans of GBP 133 million. We also increased the RCF by GBP 50 million. Both the term loans and RCF are out to April 25. This gave us an additional GBP 100 million of liquidity to help fund our existing development programs and the significant opportunities we have identified. So at the 31st of August, we had an undrawn RCF of GBP 250 million and cash on deposit of GBP 103 million, giving us access to GBP 353 million of liquidity. As at the 31st of October, we had cash on deposit of GBP 107 million. Our capital allocation policy remains unchanged. Invest in CapEx, where returns are ahead of our cost of capital, the reestablishing of a dividend for our shareholders, undertaking attractive value-creating acquisitions in strong and growing markets and returning surplus cash to shareholders by way of share buybacks. And in normalized conditions, we have a leverage target of between 0.75x and 1.25x. I'll now hand back to Carl to talk about the operational performance.
Carl Cowling: Thank you, Robert. And before I go into the operational performance, I thought it'd be helpful to run through our key areas of focus across the wider travel business. So turning to Slide 15. And as I said at the beginning of the presentation, we worked hard to execute our strategy across all of our channels and territories in travel, focusing on initiatives within our control. This supported us well through the pandemic whilst also putting us in a strong position for the recovery, and it continues to be just as relevant today. So our key areas of focus are increasing the quantity and quality of our space, and this includes our ability to develop and evolve different store formats, increasing ATV and conversion through actively reengineering our ranges, and we've seen a double-digit increase across all channels, [ Category ] development, where we have expanded and improved ranges and of course, cost and cash management. As we go through the presentation, you will see that these initiatives are integral to each channel and territory. I'm pleased to say that despite the backdrop, they've delivered some really encouraging results during the year, and we're in a really good position to benefit from the return in passenger numbers. So turning now to our U.K. travel business on Slide 17. And before I go into the detail by channel, I thought it would be helpful to show you this table, which clearly shows the improving trends we're seeing in the U.K. In Air, you can see a significant improvement from the first half, particularly over the past 9 weeks, where we saw a further improvement in sales over the half term holiday in October. In hospitals, it's a slightly different story, of course, given that we kept taking the vast majority of these stores throughout the pandemic However, as hospitals start to return to normal with more visitors and elective surgeries taking place, we have seen a gradual increase in sales. In Rail, we have seen an increase in passenger numbers since restrictions eased in the second half, and this has accelerated more recently. And looking ahead, we expect these trends to continue across all of our channels. So turning now to Airon Slide 18. During the year, we have continued to invest in our stores and win new space. The big news here is winning all of the technology stores across U.K. airports, but I'll come on to talk about InMotion in a moment. Also, it's not just about InMotion. We've had a number of other significant wins during the year, increasing our space and developing our formats. These include the opening of 2 new WHSmith stores plus an InMotion in the new terminal at Manchester Airport, our first shared space airport store with M&S Food at Liverpool Airport, the refitting of all of our stores at Heathrow Terminal 5 and the opening of a new stand-alone book shop at Heathrow Terminal 2 and extending our coffee proposition into airports with new cost of coffee stores in Aberdeen and Southampton. When it comes to our product offer, we've worked hard at developing our ranges. For example, introducing new premium food ranges such as YO! Sushi and Crussh, which have delivered a 25% increase in ATV in the food category. And finally, we have successfully extended some key contracts during the period. So turning now to our new InMotion stores in U.K. Airon Slide 19. And since we last updated you, we've now won all the technology stores across U.K. All of these latest wins in the U.K. will trade under the InMotion brand and will combine the learnings and expertise from the U.S. to provide a first-class customer service experience and a combination of premium products from brands such as Apple, Bose and Samsung, as well as an extensive range of tech accessories. As I said, this is a strong growth market. And in a fully recovered travel market, we'd anticipate these stores will deliver around GBP 80 million of incremental sales per year from an upfront investment of GBP 18 million. We now have 8 InMotion stores trading in the U.K., including a combined WHSmith and InMotion store at London Stansted. This is an important next step as part of our blended essentials format combining a full news books and convenience offered by WH Smith with a full technology range of InMotion, all under one roof. In addition, we will also be launching a new reserve and collect service later this year to provide our customers with another easy and convenient way to shop for technology. We've been pleased with the sales to date. And we expect the remaining stores to open in the first half of this financial year. So let's look in more detail at our new stores on the next slide. Here, you can see an example of our soon to open flagship store at Heathrow Terminal 5. You can see that we've introduced a large digital fascia as well as digital signage across the store, very similar to our flagship WH Smith format that opened at Heathrow Terminal 2 last year. To create this new store design, we undertook extensive research to ensure we created a storefront that's attractive to passing customers whilst also promoting our key offers and products. We, therefore, believe we'll increase both penetration into the store and average transaction value. We focused on the layout of the store, creating a walkway to help customers navigate the entire store, improving their customer journey and letting them see more of the product categories as they pass through. Turning now to our Hospital channel on Slide 21. As you know, the Hospital channel is very important to us. It's the second largest by revenue after Air. It's a robust market, and there are plenty more space opportunities for us to improve the retail offer across the U.K. We now operate 138 stores, and we believe there is scope for around 300 hospitals in the U.K. to support at least 1 of our 3 store formats. Our Hospital channel is another great example of how we continue to innovate with a strong proposition tailored to each location and a broad suite of brands, including M&S, Costa and the Post Office. We now operate 49 M&S stand-alone or shared space stores across hospitals including a recently opened M&S store and Cafe at St Thomas' hospital. Across the Hospital channel, we would expect to return to opening on average around 10 new stores per year. Turning now to Rail on the next slide. Rail is a very attractive channel for us with around 1.7 billion passengers pre-COVID. Passenger numbers are now at around 66% to 2019 levels. And the current nature of community means that we've seen fewer rush hour pinch points throughout the day when customers have less time to brands. We're also seeing a stronger weekend performance relative to 2019. So we continue to focus on ATV, and we see some good results with a double-digit increase despite passenger numbers recovering and the rest of retail opening in stations. As we have done in Air, we also continue to invest and develop new formats in Rail, and we've recently opened our first share-based store with M&S in Bristol. Whilst it's early days, both customer and landlord feedback has been positive. Next month, we will also be launching a new blended essential store at Euston Station, combining our traditional news, books and convenience offer with electrical accessories, health and beauty products and a pharmacy. Turning now to our North American business. And as the largest Travel retail market in the world, valued pre-COVID at $3.2 billion, North America is a very attractive market. North America now represents around 50% of our international store estate, and we expect a substantial amount of retail space to come up for tender over the next 10 years. So there are real attractive growth opportunities here. MRG are very successful with a distinctive retail offer tailored to local consumers in high-traffic locations and this sets it apart from its competitors as evidenced by its continued track record of winning tenders. As I've said before, the combination of WH Smith, MRG and InMotion, now allows us to participate in the entire U.S. airport specialty retail market, making us a significant player in this market. We currently have a pipeline of 58 new stores won and anticipate these opening over the next 3 years. Turning now to the next slide. In terms of performance in the U.S., we've seen good signs of recovery with total revenue in October at 90% compared to 2019 levels. Data from the Transportation Security Administration, which publishes data on how many passengers are passed through U.S. airports each day also shows a consistent steady recovery in passenger numbers. It's important to remember that 85% of U.S. Airtravel is domestic. We opened 23 new stores in the year, and we continue to win new business, as you've just heard. Our Resorts business in Las Vegas has been resilient with a fast recovery. And whilst many people drive to Vegas, we've also seen a significant improvement in passenger numbers coming through Las Vegas airports. Given the similar customer dynamic and high portfolio environments to our U.K. Travel business, we remain in a good position to apply our expertise here. Turning now to the next slide on our store pipeline. And I thought it would be helpful to outline the pipeline of new stores for MRG in both Airand Resorts and also InMotion in the U.S. As you can see on the graph, when we acquired MRG in 2019, it operated from 56 stores in Airand 111 Resort stores, mostly in Las Vegas. At the end of August, we had 62 airport stores and 112 Resort stores. And looking ahead to 2024, we expect this to increase significantly with 55 stores already won due to open in Airand 2 resort stores. Similarly, with InMotion, we now have 117 stores trading, we've already won a further 9 stores which are due to open over the next 3 years. MRG is currently only represented in 10 of the top 50 U.S. airports in contrast to InMotion, which has stores in 45 of the top 50 This, therefore, gives us huge gate with MRG to win additional space in these locations going forward, particularly given the existing relationships with InMotion. Also on the graph, you can see the projected CapEx requirement for each financial year. And finally, we continue to invest in digital technology to enhance the customer experience in our stores, and we'll be opening our first frictionless checkout free store in the coming weeks. This new WH Smith branded store will provide customers with a quick and easy way to shop using Amazon's just walk out technology as they travel through the airport and will complement our existing stores. Turning now to an update on InMotion on Slide 28. As most of you will remember, we acquired InMotion as a market-leading business in the U.S. in 2018. At the point of acquisition, our analysis told us that competition in this market tended to be limited to 1 main player in most territories. As you just heard, since winning all the new business in the U.K., we moved from being the #1 tech retailer in travel locations in the U.S. to the #1 globally. So we see plenty more opportunities for growth going forward. Combining in-motion ranges into MRG and WH Smith branded stores, continuing to develop our already successful own brand ranges of InMotion accessories, growing our space further in North America and building on our existing portfolio of InMotion stores across the rest of the world. We are also very well positioned to leverage our key supplier relationships, superior operating model and format development expertise. So a really exciting time for this business. Turning now to an update on the rest of the world on Slide 30. And as you know, outside of the U.S., WH Smith has a very small market share of the international travel retail market. In terms of recovery, the paces varied by geography as expected, with Europe and the Middle East, the best-performing regions in the second half. As we have done in the U.K., we focused on areas within our control, including driving ATV and increasing conversion. And despite the impact of the pandemic, we've continued to win new stores, and we've signed deals that reflect current passenger trends, including significant tender wins at Adelaide, Melbourne and Bali airports. We're also delighted to have been awarded preferred bidder status at Dublin Airport for 2 InMotion stores. This significant win in the European Airport bring the total number of InMotion stores in the rest of the world to 10. We're also encouraged by the strong pipeline of tenders coming to the market in the coming months across our traditional categories as well as in technology. During the year, we opened 17 new stores. So as of the 31st of August, we have 304 stores internationally outside of the U.S. And we remain well positioned to benefit from further opportunities ahead as more space becomes available. So before I move on to the High Street business, let me just do a quick recap on travel on Slide 31. So looking ahead, whilst the shape of the recovery remains uncertain, we like most industry commentators believe that passenger numbers will fully recover by 2024. Meanwhile, we remain very well placed to benefit as the recovery continues. We have a strong pipeline of new space across all of our channels and territories, totaling over 100 new stores won and due to open over the next 3 years with the majority being in North America. We are now the #1 technology retailer in travel locations globally, and we see plenty of opportunities ahead. In Air, we expect to see continued growth as more long haul and international flights resume. And both within and outside of the U.K., we remain committed to our key areas of focus to drive ATV and increase customer conversion. Our hospital and Rail channels are seeing good signs of recovery, and we expect this to continue. As a group, we've also benefited from a number of productivity gains and efficiencies during the year, and this has put us in a good position to emerge operationally stronger. So it's a testament to the entire team that we've made some great progress and kept up the momentum by investing in our stores, opening new formats and winning new business, and we expect further good growth opportunities ahead to continue to win new space. So turning now to the High Street on Slide 33. Before I go into the detail, I thought I'd remind everyone that our High Street business comprises our store portfolio, our online businesses, whsmith.co.uk and cultpens.com, and, of course, funkypigeon.com, all of which serve our customers in different ways. So starting with the market, and it's changed significantly during the pandemic. Footfall remains down around 25% on the U.K. High Street, whilst the online market has continued to grow. There's been a clear shift in the past 18 months, which without the pandemic, would probably have taken around 6 to 7 years. We've acted quickly to this changing market in a number of ways, firstly, by restructuring the cost base to reduce cost but also increasing the level of flexibility in our business model. This, for example, covers labor costs in stores, head offices and distribution centers. and also in our occupancy costs, reducing rents and keeping leases short and flexible. During the year, we have closed stores that have become uneconomic and now have a process where the cost of closure are pretty much cash neutral. We've reviewed our categories and extended them where appropriate to ensure we have greater relevance in this market and where competitors have closed. New categories include working from home ranges, tech accessories, and we've increased our range of cards when our competition has weakened. And we have invested in our whsmith.co.uk and Cult Pens website where we are seeing significant growth. The strategy we had in place prior to the pandemic remains as relevant today as it's ever been, and I'll touch on that in a moment. So going forward, with the strategy we have in place and the actions we have taken means that the cash flow and profits of this business are robust and sustainable. So turning to the strategy in more detail. This will be familiar to many of you, but it's worth reiterating as well as some of the actions we are taking. Our forensic focus on [ return on ] space remains as do third-party partnerships such as the Post Office and new partnerships such as Tinc stationary. In terms of category management, and as I've already touched on, we launched new ranges relevant to each location and in towns where competitors have closed. We're also currently trying to reduced retail selling space in our larger stores. This reduces complexity, stock and running costs and early results are encouraging. As you would expect, we have also increased our investment and focus on whsmith.co.uk, and we're seeing rapid growth through investing in the site. This has included improving customer conversion and product presentation, broadening our approach to marketing and investing in fulfillment using our Swindon distribution center. All of this has enabled us to have a credible multi-channel offer for our customers. Cost efficiency remains a key part of the strategy. So let's turn to that on the next slide. And as usual, we've worked particularly hard at managing costs during the year, delivering savings of GBP 30 million. These savings come from right across the business, including rent reductions at lease end of over 50% as well as logistics and supply chain efficiencies. We've worked hard over the past 10 years to create a very flexible lease portfolio in the High Street with short leases where our average lease length is now only around 2.5 years. This has set us up very well to respond quickly to changing market conditions. We have around 430 leases due to expire over the next 3 years. Given this rolling program of lease renewals, we therefore, have further opportunities to renegotiate our occupation costs going forward and expect rent reductions to remain a key component of our future cost reduction strategy. During the year, we also completed the reprofiling of our High Street store staff moving to a more flexible model with more staff available to flex up as required, for example, key pinch points such as weekends and Christmas trading. This has landed well, and we're recruiting an additional 500 part-time vacancies this Christmas. Even with years of savings, the High Street cost base is still substantial, and we continue to see opportunities for further savings going forward. You can see on the table, our latest forecast for cost savings up to 2024. This gives us a total of GBP 45 million over the next 3 years, and we'll continue to update this chart each year as before. Turning now to Funkypigeon on the next slide. And given the evolving nature of the High Street business and the accelerated growth of Funkypigeon, I thought it would be helpful to share a bit more detail today along with some background on the cards market. As you know, the online greetings card market has seen considerable growth for a number of years. We acquired Funkypigeon back in 2010, and it was very clear back then that there was huge scope in this market to develop a stand-alone personalized greetings card and gifting business. Since 2010, we have developed this business through investments in infrastructure, marketing, website functionality and its production facilities. And while the past 18 months has clearly accelerated the growth of online shopping, it's still apparent that this is an underpenetrated market with plenty of opportunity to develop this business further. During the year, it's delivered record performances from both personalized cards and attached gifting throughout each of the key trading periods. Total revenue was GBP 54 million with EBITDA of GBP 14 million for the year. And we see plenty of opportunity to grow this business. The market for greetings cards in the U.K. is substantial, estimated at about GBP 1.6 billion, with online penetration currently estimated at around 15%, with forecast suggesting that penetration will grow to around 20% by 2024. In line with others in the sector, we expect sales to be down this year as we anniversary the lockdowns and restrictions of last year but still substantially up on a 2-year basis. We would, however, expect to hold on to our strong profit conversion. So turning to the next slide and growth opportunities. And we continue to invest given the considerable growth opportunities that exist. During the year, we have developed the Funkypigeon app and invested in platform enhancements, including improving our CRM capability. We have also extended the fulfillment capability to meet demand with a new production facility in Swindon, leveraging our group assets. And to further enhance our customer proposition, we have launched a new next-day delivery service 7 days a week, which have received very positive customer feedback. In addition, we strengthened the management team with a new managing director with extensive experience of online trading. Customer loyalty of Funkypigeon is very high at 80% of our sales come from our existing customer base. Turning now to the next slide. And before I move on to summarize, I thought I'd touch on ESG. As you've heard, it's been a busy year across the business. However, we have continued to focus on our ESG performance. This year, we met our target to reach carbon neutrality for our U.K. operations, reducing our energy consumption by over 60% since 2007, switching to 100% renewable electricity and investing in tree planting projects to neutralize residual emissions. Over the next few years, we intend to extend this approach to our international operations and encourage our suppliers to join us on the pathway to net zero. We'll be seeking independent assessment and approval of our carbon targets from the science-based target initiative during the next year. We continue to focus on more environmentally responsible sourcing practices, and this is in addition to our work to redesign and remove plastic packaging from our seasonal ranges wherever possible. As I touched on in April, one of the greatest impacts of the pandemic has been the increasing gap in children's literacy levels, and so we're proud to continue our partnership with the National Literacy Trust at such an important time. We look forward to building on each of these areas over the course of the year, delivering on the next part of our strategy, continuing to play our part to address some of the key challenges facing society and the environment over the next few years. So turning to our final slide and a quick summary. So looking ahead, and we are well placed for the future and for the recovery. We continue to invest in new stores and develop new formats within and outside of the U.K., where we can see attractive opportunities for profitable growth. The growth opportunities in North America are substantial. And we have now got a highly successful global technology business with InMotion. We are operationally stronger than prior to the pandemic, with over 100 stores already won and due to open over the next 3 years. And we anticipate further opportunities ahead to win new space. Our High Street business is cash generative and has delivered a resilient and profitable performance, and we expect this to continue, and we see significant growth opportunities with Funkypigeon. So we are a resilient, versatile and financially strong group, and we are well positioned to emerge stronger as the recovery continues. And as I said at the beginning, we expect to return to meaningful profitability in the current financial year. So that's it for me. Thank you, and we will take your questions.
Jonathan Pritchard: Jonathan Pritchard at Peel Hunt. 2 sort of in parts. On the pitch process in the States, I know you've talked about the sort of secret sauce of winning all these pitches. But could you just update us on that? And perhaps update us on what the competition are trying to do to fend that off because obviously, you've got a good strike rate and they probably won't just sit there and do nothing. So what are they doing to try and combat that? But what is the secret sauce? And then over to Funkypigeon, what's the gift attachment rate? And how much of an opportunity is that do you think? And what are you doing to try and increase that?
Carl Cowling: I'll take the first one, Robert, and you need to take the second, if that's all right. So in terms of the U.S., it's quite a complex tender process, very different to any other part of the world. And what makes the U.S. tender process interesting is it's not just about the financial offer. Indeed, in some airports, the financial offer only makes up 25% of the tender process. What the airports are looking for is they're looking for something that sets apart their city from other cities. And MRG, their whole [ race on better ], if you like, is developing bespoke retail solutions. And they are very adept at doing unique brands but having a core range that's the same within the stores, and airports love that. And that has been the secret to their successful tender win rate. Now of course, the competition have been trying to catch up. But if anything, MRG have pulled ahead because they've been able to open some of these stores, and they've been able to demonstrate to other airports, look, this is what we've been saying and this is what we delivered. So they're able to show the district market stores in San Francisco. And more recently, they're able to show the walk-through store at LaGuardia Airport, where we've got all of the retail and an entire combination of all of the different categories. And that's something that the 2 main competitors just can't do because they haven't got the vertical retail skills. So I would say, if anything, our ability to win tenders and to differentiate has actually increased, not declined. And the evidence of that, I guess, is our continued rate at winning tenders. So we're in a really good position. And combined with InMotion, that's pretty much what all the airports want. They want a convenience offer. They want a reading offer. They want a souvenir offer, a fashion offer and a technology offer. We've now got that all under one roof in a way that the competition just doesn't have. Robert?
Robert Moorhead: Jonathan, in terms of penetration rate, just in double figures. Therefore, plenty of room to grow, and that's one of the reasons why we think we've got really good growth opportunities with Funky through better merchandising in the site, better personalization to the individual customer and better ranges and growing ranges in gifting.
Tony Shiret: Tony Shiret from Panmure. Just following on from the Funkypigeon side of things. What degree of sort of commonality is there between the Funkypigeon sort of support functions and the whsmith.co.uk support? And what sort of level of penetration of sales you think within WH Smith High Street will we see coming out of COVID maybe in 2 or 3 years' time? Will it become a more meaningful thing that we have to look at a bit more? Just some more color about the totality of your online operation, I suppose.
Carl Cowling: Well, I guess in terms of Funkypigeon, we run it as a very separate business. So we acquired it in 2010. It's based in Bristol. And we've actually kept the office there. And it's sort of -- it's a highly entrepreneurial sort of trading business, and we've left them to trade their business. The support functions though, as you would expect, we've bought a lot of those in-house. So in terms of the financial governance, in terms of payroll, all of the services where you can get cost synergies, we bought back into house. But we've allowed the business to trade itself separately from that point of view. There's a lot of learnings that we are bringing from Funky into whsmith.co.uk. Yes, we're bringing a new marketing person into the Funky business. They will oversee also the customer acquisition strategy within whsmith.co.uk. We've seen substantial growth over the last 12 months. It's difficult to say what the opportunity is over the next 2 to 3 years. And how we're thinking about it, we're thinking of it as a true multichannel proposition and trying to shift customers and allow customers to experience the same sort of products, pricing and offer both in-store and on the website and allow customers to switch between the 2.
Tony Shiret: But I presume that Funky has got its own separate marketing, got an SEM strategy, all that sort of stuff. WH Smith doesn't.
Carl Cowling: And it's a very different dynamic because I mean, the repeat purchase of Funkypigeon is very, very high compared to most online businesses. So we have a very different acquisition strategy there. We're very aggressive in terms of acquiring customers in a way that in a traditional retail business, you probably wouldn't be.
Tony Shiret: So does that mean you're not going to be more active in acquiring online customers in the main business. You'll just offer it as an option as it were?
Carl Cowling: No. We've got a very aggressive marketing plan in whsmith.co.uk, but it's -- we wouldn't spend as much money as we would do in Funky.
Richard Taylor: It's Richard Taylor from Barclays. You've obviously been successful in winning more pitches at airports, but can you just talk to that relationship in general now versus pre COVID? And on a fully recovered basis, you'll be paying lower rent as a percent of sales? Are you getting more capital contributions? Just sort of a bit more flavor on how those relationships are going and how you see that going forward?
Carl Cowling: Well, our relationships with airports are strong. And we've had very good relationships throughout the pandemic. The big job that we did was renegotiate our rental terms away from a fixed minimum guarantee and to be more in line with passengers. And where possible, that's going to continue coming out of the pandemic. I don't think therefore that, that means that necessarily, as a percentage, we'll pay less rent or more rent, it will equalize. But we will always make sure we've got that downside buffer going forward that we're not exposed to a period of time where our passenger number suddenly dipped that our rent wouldn't dip in line. And that's the big change that we've put in place. And we've been largely successful in all but a handful of cases across the world. But certainly with our big contracts, we have been.
Richard Chamberlain: Richard Chamberlain, RBC. I'll just ask a couple. I wondered maybe Robert, you could say what the impact of space has been on the most recent travel and group figures. So Page 4 is I think you see group sales 9 weeks 30th of October, 82% of '19. What -- roughly what sort of space impact are we seeing at the moment? And then the second one, maybe for you, Carl, can you just talk about a little bit about what you're seeing in terms of ATV at airports? Because I guess, currently, if you go through an airport, there's a lot of rival formats, just general formats that aren't open yet or restricted still. So is that giving you a sort of short-term benefit to ATV and then we should expect that to sort of normalize when everything is open again. I just wonder if you can just touch on the sort of dynamics going on there.
Robert Moorhead: Can I go first? So broadly, Richard, North America benefits by about 10 points through space. And Travel U.K. because these are the 2 main ones, Travel U.K. by about 5 points. So I think for travel as a whole, add the 2 together, probably 7-ish and then for the group because of the mix, it's probably down to 2 to 3.
Richard Chamberlain: And should we think about that as the sort of rate for the full year, do you think or...
Robert Moorhead: Probably, it will depend on the speed at which the stores open up over the course of the year, and it will probably change over the course of the year. But the way I think about it, it's only helped us in total because of all the changes going on in terms of new space, terminals open or not open. So if you take Heathrow, you've got T4 still closed and you got the other terminals opening up or T3's open up more recently. Think about it in the total seemed a better way to understand what's really going on in the business.
Carl Cowling: In terms of ATV, Richard, we intend to hold on to it. And I think my Managing Director of Travel would wholeheartedly agree with me. And then there's a number of structural things that we've done around ATV. It's not by accident that it's increased. We broadened categories within our stores. And a good example of that is tech accessories where perhaps we used to have a meter of tech accessories, and we reimagined the store. We're really good at managing space. So we managed to create space and put in 4 to 6 meters in most stores. We've broadened the range of health and beauty in the stores where we already had it. And more importantly, stores where we didn't, we've introduced that range. And so that's created a whole new category for us. And then what we've tried to do, what the team have done really successfully is they've reengineered some of the ranges. And a really good example of that is food. So 2 years ago, you'd have gone to the chillers in a WH Smith store, and you'd have been able to buy a nice sandwich -- but a sandwich or a small pot of salad. Now you can buy YO! Sushi and you can buy top end sandwiches from Crussh. And that's resonated really well with customers in Air and Rail in hospitals from the south of the country to the north of the country to such an extent that we're rapidly rolling that out, putting new chillers into our stores, I think we've got -- I think we're rolling out to another 80 stores over the next 2 weeks. Is that right, Andrew? So we're increasing that significantly. And that's increased our ATV within the food category by 25%. And we're looking at doing that in other categories. And through necessity in the pandemic where we had fewer customers, we've really focused on that. And we probably pulled in about 4 or 5 years of initiatives into 1 year. We've seen such huge success that a lot of our board time within our commercial teams is how do we take it to the next step. So I don't see it declining.
Richard Chamberlain: Okay. So what is your -- I'm not sure if you said it, what is your ATV in Air at the moment versus [ Rail ]?
Carl Cowling: It sort of varies because typically, across WH Smith, our ATV varies from GBP 7 to GBP 10. And broadly, the larger the store, the higher the ATV because there'll be more categories in it. And in all of our formats, Rail and Air, in all of our markets, our ATV is up by at least 10%. At the moment, in air, it's up by 15%.
Alexander Richard Okines: It's Warwick Okines from Exane BNP Paribas. I'm afraid I've got 3 questions on costs and inventory. Firstly, you've given a GBP 35 million cost save number in 2022. It's pretty big and it's bigger than last year. I know you're going to tell me it's across a broad range of categories. But could you give a little bit more color to that, please? And secondly, could you comment on in-store availability at the moment? And then looking into next calendar year, how do you plan to mitigate living wage inflation and supply chain inflation as well?
Carl Cowling: Would you do 1, and I'll do 2?
Robert Moorhead: Sure. Well, Warwick, you'd be surprised to hear it's from right across the business. The main areas are -- we did a lot of restructuring around our store cost base in terms of our staffing levels and our labor, and that is a big chunk of it as well as in restructuring our head offices, and that's another large [ chunk ] of it. Then you get all our occupancy costs. So we've made really good steps in terms of reducing our rent. And then we've talked about it for many years. But the way we think about our rent negotiations and where we go about getting reductions, that has continued. Our average reduction is around 50% for last year. I can tell you there is a large shopping center in the country where we've got over 60% reduction very recently. And these -- they're big centers, big sums of rents, big reductions in cash terms, all that continues. And we look forensically at all parts of the business, as we always have done, continue to do so. And that's why the number is so big. We're coming out of an opportunity to really get to grips of our cost base, put more flexibility into it as well. So we've already had a drive on making the cost base as flexible as we can be.
Carl Cowling: In terms of in-store availability, we're in a really good place. Our suppliers have been very supportive of the reopening of our travel business. In comparison to sort of out-of-town retail, our stores are very small, and therefore, our ranges are very, very tight. And we have a lot of choice in terms of who we buy off and the ranges. And we do tend to get priority. And we've seen that on your travels, if you go into a WH Smith Rail store or an Air store, you won't find any empty shelves. And even though we've been growing rapidly over the course of the last 2 months, we've managed to keep our stock availability in line. So we're in a good place. Where we've been really micromanaging it is our Far East supply coming into our High Street business, and you'll have seen all of the news around container ships. I'm pleased to say that everything is now in the country. It's a bit later than we would have liked. But it's all of our Christmas wrap, all of our cards. Yes, we've already got stock in stores, but we've got all of our backup stock and heading out. So we're in a good place there. In terms of inflation, we're managing our way through, as you'd expect. We've seen inflation in terms of the cost of distribution, the wages that we're having to pay truck drivers. Of course, we budgeted for an increase in the minimum wage, but not to the extent of 6.6%. So there are extra costs to that and through the increase in national insurance. But it's sort of the nuts and bolts of retail, and we're constantly reinventing reengineering our ranges and thinking about our space and how we grow our percent margin, our gross margin. And we're just going to have to find ways of absorbing that. And the cost that we see over the course of this financial year and into next, whilst there are meaningful costs, we believe that we can absorb them.
Kate Calvert: Kate Calvert from Investec. Two from me on the Travel business. Have you lost any contracts during the pandemic? And have you decided to not renew any? And can you just talk a little bit about, I suppose, the future for some of the satellite locations because you've talked a lot, obviously, about the bigger formats that you're putting in. Do you envisage sort of reopening some of the -- all those satellite ones as well?
Carl Cowling: So in terms of -- I mean, we mostly always like to win contracts. There are a couple that have gone, by the way, over time and in terms of our international market, but nothing meaningful. We haven't lost any big businesses that are going to particularly hurt us that we weren't expecting. And as I say, we've got a big pipeline of stores to open. When it comes to us and whether we renew. We have been able to renegotiate a lot of our contracts. And most of our landlords have been pretty supportive. In fact, all of the big ones have. And they've sort of needed us at the same time. It's been one of those sort of where actually when everything was really down and Air passengers through terminals were down 95%, a lot of them still wanted one of our stores opened. If nothing else to feed the staff that worked at the airports and to be able to sort of provide them with drinks. And so it was quite in their interest to sort of be on the right side, and we've managed to find our way through with most of the landlord. So I can't think of a large contract where we've walked away from because we've fallen out with a landlord. In terms of the satellites, you're right. We've increased -- when we take our store base, we're pretty much open everywhere. I think -- I mean, we've got a handful of stores where locations are open, where we're not open. The only stores that are closed are where the airports are closed. So 2 big examples, Gatwick South and Heathrow Terminal 4. That's where our only closures are. Our sort of -- our satellite terminals are pretty much all open in airports. So in Luton, in Heathrow, in Stansted where you've got sort of small, tiny payer shops. We've got those open now. We might not be manning them to the extent of the hours that we would have done prepandemic, where perhaps those stores might be open 14, 15 hours a day. Perhaps and maybe they're only open 6 or 7 hours, but I think that's going to rapidly increase. And I imagine by the time we get to Christmas, we'll be at our full opening hours everywhere in those satellite stores.
Matthew Garland: Matt Garland, from DB. Just 2 questions. One, in terms of the -- obviously, you talked about the MRG acquisition, the synergies coming through from the business. Could you give us an update on that and how you see, I guess, EBIT margins trending over the next couple of years and how we should think about that? And then in terms of, I guess, getting back to 2019 levels on a group basis, you've got the MRG acquisition things coming through there. How -- I guess, broadly, how much is -- how much upside does that have if, I guess, passenger numbers -- or what is the split, I guess, between passenger numbers and ATV on that number? And then finally, on the MRG new tenders, when you're going for winning new tenders, do you see concession fees, I guess, increasing in the airport locations versus on an incremental basis?
Carl Cowling: Do you want to take 1 and 2, Robert, and I'll take the third one?
Robert Moorhead: I mean in terms of -- in terms of the MRG synergies, where we've been able to make really good progress and much quicker progress than we anticipated at the time is in the merging of the head offices. So what we were able to do during lockdown and complete and sort of pretty much 12 months ago now was that taking the Jacksonville office of InMotion, closing it down and putting the whole business through Las Vegas. So -- and as a result of doing that, we were able to achieve synergies of around $6 million. Now we never anticipated doing that would not have been the first thing we did in a normalized world. We would have done that, but we would have done it a lot later in the life cycle. So we're way ahead on that one. We immediately took out all the duplicate costs that we had. So even though we only completed on the deal in December 2019. We had already been planning to remove the duplicate costs, they all came out because a lot of those were over here anyway with things like business development where we were trying to grow in North America. And then the final one we talked about at the time was income synergies and being able to benefit from the commercial way we approach business over here and applying that to a less developed, less sophisticated way that MRG were doing. And that's the bit that we are less advanced in, but we're making really good progress on that. We're probably 18 months behind where we would have been had there not been a pandemic. So everything looks like it's coming in line with where we expected it to be. It's just coming a bit later on that front. So in terms of EBIT margins in North America, you have to also just bear in mind that InMotion had a lower EBIT than MRG. So if you bang the 2 together, you're getting a slightly -- you're getting a lower one from MRG that we talked about at the time of the acquisition, but a higher one from InMotion, obviously. So the combination of the 2 were around low double digits in terms of the EBIT margins. And then we'd look to see some accretion over time as some of those income synergies start coming into play. There'll be small amounts of accretion, but there should be accretion coming through there. In terms of the effect of MRG and getting back to 2019 levels, MRG gave in sterling terms of pro forma -- in terms of 2019 in sterling terms of about GBP 150 million worth of revenue. So that -- the effect of MRG is sitting in our assumptions for getting back to 2019 levels of turnover. So it does have an effect in terms of getting back to that level of 2019. It's not going to hit GBP 150 million. We might get at around GBP 50 million this year. But it -- so it has that effect. Overall, if you take it out and getting back to 2019, probably it's going to be year after next -- it will be next year probably that we get there, including a pro forma MRG.
Carl Cowling: In terms of the concession fees, I hope I'm not cursing myself here. There's no evidence that they're going up in the U.S. And it comes back to the fact that it's not for many large airport, it's not the primary focus. I know that sounds strange. But when they look at the tender, and some of them are very specific about the scoring, it's the quality of the storefront. It's -- whether it's exclusivity to their airport, it's the range, it's the operational approach, and they score all of those things as well as then scoring the financial offer. So of course, you've got to have a financial offer that's reasonable. But it's not to the same extent as some other countries where, actually, if you haven't got the right financial offer, you're not going through the door. And so there isn't any evidence of that at the moment. And what we're doing is really focusing on our store design and really demonstrating to new airports that we're pitching for the results that we're getting through putting the new format of stores into other airports and then be able to show them that over the 10 years, the huge revenue opportunity that they could get. And hopefully convincing them that this wider assortment will give such a huge increase in revenue compared to the more traditional retailers that they might have that actually, there's nothing to really worry about when it comes to the percentage. Long may that story continue.
Harry Gowers: It's Harry Gowers from JPMorgan. Just a quick one on InMotion. So where does that business kind of go in the U.K. now? Is there still more opportunities post the 30 stores that have been won from Dixons or across airports or other locations or maybe does the focus switch to Europe maybe?
Carl Cowling: Well, we've got all of it. We're in 14 airports now. So wherever it is worthwhile having a technology store, we're now there. There may be some opportunity in the future for Rail, but I'm not sure -- we've got dedicated technology stores already in Rail. We've got one at London Bridge and one at Houston. But I'm not sure that they would warrant the investment and putting hardware into those stores. I think the really big opportunity is expanding the format across Europe and Asia. And yes, it sounds like a grand thing to say, well, we're #1 in the world. But we are by some distance now. And the rest of the market is very, very fragmented. There's lots and lots of little regional players. And it's very hard to have a really good technology proposition. You've got to have very strong relationships with Apple, with Samsung, with Bowes. There's the investments in stock. There's the creation of the stores, there's the training of the staff. And it's -- there's quite a lot of effort that has to go into doing a technology store. So I think we're really well placed when the tenders come up in Europe and Asia to sort of get a slice of that market. And then that could give us the opportunity then to sort of open those relationships and then, further down the line, increase our possibility of getting more WH Smith stores and more kind of a broader range of stores into those airports. So that's where I see the opportunity. It's around Europe and Asia. There's still more opportunity for expansion in North America. And then is there an opportunity, and we're looking at that, so putting sort of mini InMotions within the WH Smith stores. And a big example of that at the moment is our Stansted store, which is combined, and we'll be watching the results of that carefully to understand what's the impact on sales of technology and probably more importantly, are there any downturns in our more traditional categories through giving space to technology. But if we can make that work, then there's a bit of a blueprint there that we could put sort of little mini InMotions into some of our WH Smith stores on top of then having the separate stores. Anything from you [indiscernible]? I think we're done. Thank you very much, everyone. Good to see you, everyone.